Operator: Good day everyone, and welcome to the TreeHouse Foods Fourth Quarter 2016 Conference Call. This call is being recorded. At this time, I will turn the call over to TreeHouse Foods for the reading of the Safe Harbor statement. Please go ahead.
PI Aquino - AES Partners: Good morning. Before we get started, I'd like to point out that we have posted the accompanying slides for our call today on our website at treehousefoods.com/investor-relations. This conference call may contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Forward-looking statements include all statements that do not relate solely to historical or current facts and can generally be identified by the use of words such as guidance, may, should, could, expects, seeks to, anticipates, plans, believes, estimates, approximately, nearly, intends, predicts, projects, potential, promises, or continue, or the negative of such terms and other comparable terminology. These statements are only predictions. The outcome of the events described in these forward-looking statements is subject to known and unknown risks, uncertainties and other factors that may cause the company or its industry's actual results, levels of activity, performance or achievements to be materially different from future results, levels of activity, performance, or achievement expressed or implied by these forward-looking statements. TreeHouse's Form 10-K for the period ending December 31, 2015, and other filings with the SEC, discuss some of the risk factors that could contribute to these differences. You are cautioned not to unduly rely on such forward-looking statements, which speak only as of the date made, when evaluating the information presented during this conference call. The company expressly disclaims any obligation or undertaking to disseminate any updates or revisions to any forward-looking statement contained herein, to reflect any change in expectations with regard thereto, or any other change in events, conditions or circumstances on which any statement is based. For the purpose of our discussion today, statements such as Private Brands or the Private Brands business refer to the recently acquired TreeHouse Private Brands business. Private label, on the other hand, refers to the customer and corporate brand industry. I'd now like to turn the call over to the Chairman and Chief Executive Officer of TreeHouse Foods, Mr. Sam K. Reed.
Sam K. Reed - TreeHouse Foods, Inc.: Thank you, PI. Good morning all and welcome back to our TreeHouse. We've just concluded a most remarkable year in the annals of private label. The high and low points have both been extreme, the former in celebration of the long expected, the latter in disappointment of the unexpected. In true TreeHouse's fashion, we have rallied to implement a new fashioned organization with old fashioned resolve. Having begun our transformation, we now foresee a new era of customer brands growth and prosperity on the horizon. I'm joined today by Dennis and Rachel and I'm pleased to introduce Matthew J. Foulston on his initial analyst call as our Chief Financial Officer. This is the Investor Relations team, including PI Aquino who will lead our financial market communications. In looking back, we closed the past year with a fourth quarter seasonal surge of retail shipments led by the Private Brands group and single-cup coffee. This combination achieved three milestones that mark our strategic progress. First, as you can see on slide 6 and as Dennis will relate in detail, the Private Brands portfolio rebounded strongly over the course of our winter quarter, as the business emerged out from under the administrative burdens of carve-out and integration. When confronted with an unanticipated third quarter sales sluggishness, the Private Brands group put a halt to their top-line slide, posting their best performance under our tenure at year's end. Next, on slide 7, the private label sector, the single-cup coffee, led all national brands with 54% equivalent cup growth last year, thus generating a 23% share of total cups for customer brands. We have supersized the category in pursuit of heavy users, as more than one-half of private label scanned cups are now sold in 36 count or larger cases. In parallel to traditional retail channels, we have expanded our e-commerce beachhead and we'll add production capacity yet again to accommodate omni-shopper demand. In sum, TreeHouse has surpassed all others and reestablished ourselves as the category's private label leader. Third, the Private Brands integration met all of its administrative, organizational and systems developments, thus paving the way to full integration with its beneficial effects on our market presence, supply chain and financial performance. With that story and its 2017 sequel, here is our unbrands, unretiree President, Dennis Riordan.
Dennis F. Riordan - TreeHouse Foods, Inc.: Thanks, Sam. I think the key word to describe my view on our conclusion of 2016 and our start in 2017 would be momentum. We announced to everyone our new organization design in November, as seen on slide 8, but we've managed to accomplish quite a bit between then and now. Our division teams are set, product training is taking place and we have customer teams established. I'm feeling really good about where we are starting 2017. As I mentioned, I can sense the momentum that we have in the business. From a sales point of view, we finished last year with another quarter of year-over-year volume growth in our legacy business. That made three straight quarters of positive volumes. And even more telling is that the retail business of the Private Brands group was positive in the fourth quarter compared to their prior year. While we don't have all the financial data to say this with absolute certainty, I believe this growth in retail has not been seen by the Private Brands teams for at least a few years. And when looking at our operations, it was clear our teams were really on their games. We managed to reduce our waste and distressed inventory write-downs by 15% last year and we have plans for further double-digit reductions in 2017. These reductions are the result of our increased focus on manufacturing processes and taking advantage of our simplification programs to become more efficient with less downtime from formula and packaging changeovers. Another key area for us last year was our systems consolidation project. As you'll see on slide 9, our teams have done a remarkable job and have made a great deal of headway with our integration. We are right on schedule with our systems conversions and are in very good shape to finish our transition services agreement with ConAgra by the end of next January. While this will be a positive from a cost standpoint, the real opportunity is having better consolidated product sales data and customer profitability reports to manage our business. And finally, we've added new talent to our finance, legal and human resources teams to better manage the size and complexity of our larger business. So while we did come up a bit short on our original expectations for sales and profits in 2016, we did establish a strong foundation for 2017, which leads me to our plans for this year. First and foremost, we are continuing our emphasis on making the right products. This means two things. First, we'll do both more R&D time and effort on better-for-you formulations. We are working with our customers to develop more clean label products and increase our emphasis on natural and organic ingredients. Clearly, this is where consumers are going and it's reflected in our business. Approximately 20% of our legacy products are now in the premium and better-for-you categories. We see this growing substantially in the years ahead. Secondly, we continue to reduce SKU complexity by eliminating nearly but not quite identical product formulations. These savings will be shared with our customers to help both of us improve our results and provide a better value to consumers. Besides simplification, our new dedicated product sales teams will be more focused on selling the products we make. We knew our very quick growth had made it just too difficult for our customer-oriented teams to fully understand the 32 product categories we sell. Our new five division sales teams will now sell between four and six categories and mostly to the same buyers or in the same grocery aisle. This increased focus will allow us to do a better job of helping our customers manage their private label sales programs, promotions and shelf assortment. I can't stress enough how important this is for both us and our customers. Private label has done well over the years, but frankly, we can do much better. We see that the most successful retailers of food have significantly higher percentages of private label food products than the average for the U.S. We firmly believe that increasing private label offerings of products that span the range of value to premium is the best way for retailers to grow profitably and that sentiment is shared by nearly all retail grocery senior leaders. Looking internally, we will continue to reduce complexity and waste in our operations. We said it before and I'll say it again now. We have too many SKUs relative to the number of products we make and the customers we service. And ultimately, the cost of complexity falls into product costs. We can do a better job of managing those costs down. Each of our divisions will have complexity reduction targets. Success in complexity reduction will have a positive effect on our divisional leaders' compensation as well. This way, we make sure everyone wins when our business gets simpler. And our other big focus will be the continuation of systems conversions. First and foremost, we will be completing the conversion of our cereal plants to our own SAP. This will eliminate a key interdependency we have with ConAgra. And finally, we'll place an increased emphasis on our snacking division. As you are now aware, we wrote down a portion of our goodwill related to the Flagstone acquisition. While Matthew will go through the technical details of that write-down, I want to assure you that we have great confidence that our new division structure with a dedicated sales team will return this on-trend category to meaningful growth. And to help this team better manage their business, we will expedite the consolidation of our snack nut business in order to get better visibility into the combined Flagstone and TreeHouse Private Brands nuts businesses. This will allow us to better manage our nut manufacturing lines and optimize our five plants based on their particular expertise. This will be a key part of both growing our snack nut business and improving our overall margins in this very large business. We clearly have a lot of plans in place that should allow us to deliver on our 2017 expectations. Matthew will now recap 2016 and guide you through the detailed assumptions for 2017. Matthew?
Matthew J. Foulston - TreeHouse Foods, Inc.: Good morning and thank you for your introduction, Dennis. I'm delighted to join you this morning on my 44th day since joining TreeHouse, not that I'm counting. Before I jump into the results, let me start by giving you a sense for what drew me to the company and what I see is the real opportunity at TreeHouse. I will start on slide 10. As I did a fair bit of research on my own last fall and had discussions with the Board and the management team, there were a couple of things in particular that stood out. First, the growth here has been exceptional. After acquiring over a dozen companies over the last 11 years, we truly are in a unique position in the food and beverage industry, to lead the growth of private label. In measured channels, we have an unparalleled portfolio of private label food and beverage products where we believe we are a leading scale manufacturer in nearly all of our 32 core categories. In turn, we have the opportunity to develop strategic long-term relationships with our customers that simply cannot be replicated by the competition. Secondly, the fundamentals for private label growth in the U.S. are solid and the opportunity is great. Private label penetration in the U.S. at 18% is roughly half that of some Western European countries. Lastly and most importantly, it's really about the people. This is a high-quality group here. I've seen an immense amount of collaboration and been very impressed with Sam, Dennis, Rachel and the rest of the senior leadership team. So I'm very excited to be a part of this team, as we continue on our growth trajectory to a $10 billion company and beyond. With that as an introduction, let me first talk about the results and then cover our outlook for 2017. Turning to slide 11, on a consolidated basis, fourth quarter sales increased 105% from the prior year to $1.8 billion, while gross margins on a GAAP basis of 19.7% declined 130 basis points, primarily reflecting pricing headwinds and the mix of lower margin Private Brands business. SG&A was up year-over-year to 13.4% of revenue, due to acquisition activity and infrastructure investments. Interest expense increased to $31 million, in line with expectations. GAAP EPS was the loss of $4.96 per fully diluted share in the fourth quarter. As you read in the release, we took a $352 million non-cash impairment charge or $6.19 per share before tax this quarter, related primarily to Flagstone Foods. Those of you that's been around longer than I will remember that we had high expectations when we purchased the Flagstone snack nuts, trail mix and dried fruit business back in August of 2014. At the time, the business had a track record of double-digit growth and we expected Flagstone to continue on its growth trajectory and deliver $750 million in annual revenue, albeit with thinner margins than our corporate average, given the input cost structure of the nut business. Since that time, Flagstone's performance is not delivered as we originally hoped. Sequentially, the snack nuts category has endured a series of headwinds, over the course of the last two years. If you recall the category endured dramatic almond input cost increases in 2014 as a result of the California drought conditions. Cost increases passed through to our consumers created an imbalance in retail pricing for snack nuts, which resulted in volume declines and decreased promotion and display. While the category has recovered from the drought impact, in 2016, the sunflower seed recall created further challenges. We noted the risk of potential impairment in our third quarter 10-Q consistent with SEC requirements. Flagstone's shortfalls early in our ownership have weighed heavily on our discounted cash flow model, which in turn drives the goodwill analysis. I want to be clear, however, that despite the impairment, we are maintaining our optimism around the snack category. The Private Brands acquisition makes us a much bigger player in the healthy snacking segment, which gives our go-to-market teams an advantage over the competition. We continue to see compelling logic to being in snacking and the business remains an important part of our strategy as we move forward. Despite the loss in Q4, we still incur tax expense due to the partial non-deductibility of the goodwill impairment charge. After taking into account the impairment, as well as other adjustments, as noted in the first table of our press release, our fourth quarter adjusted EPS was $1.14. We are particularly pleased with the results on an adjusted basis compared to our guidance of $1.07 to $1.12, with favorability across many cost categories, which more than offset lower volumes in our Flagstone business. On a full year basis, our GAAP EPS was a loss of $4.10 per diluted share and on an adjusted basis, EPS was $2.95 per fully diluted share. This quarter, we early adopted the Financial Accounting Standards Board's new guidance on accounting for employee share-based compensation. So that has been reflected this year retrospectively. The impact for the full year was a favorable $0.08, of which $0.06 fell in the second quarter and $0.01 each of the third and fourth quarters. Let's now turn to slide 12, which summarizes all three of our segments for the quarter. As Sam and Dennis noted, we are pleased with our results. All three of our segments reported revenue increases, largely driven by the acquisition of Private Brands, while direct operating income margin went the other way, due to the lower margin profile of that Private Brands business. Volume/mix grew 2.9% for North American Retail Grocery, while Food Away From Home and Industrial and Export volume/mix was down year-over-year. Retail Grocery and Food Away From Home faced pricing headwinds, partially offset by lower commodity and freight costs. We ended the year with net debt of $2.8 billion, an approximately $680 million available under our revolver. Our leverage ratio, net debt divided by EBITDA, as defined by our bank covenants, finished the year at 3.7 times. Let's now look at the year ahead. On slides 13 and 14, we've laid out the key guidance items for you, including a couple of new things that we hope you'll find useful. We expect consolidated sales to be between $6.4 billion and $6.6 billion, driven by low single-digit volume growth and the extra month of Private Brands. Gross margins are expected to improve sequentially in the second half, as we realize operational improvements. Our expectation is ag commodity inputs will be modestly higher, particularly in cashews, oilseeds and coffee. For the year, gross margins should be approximately 19.5% to 20.5%. On the expense line, we expect SG&A including amortization to be between 12.8% and 13.5% of revenue. Moving down the P&L and turning to slide 14, we expect net interest expense to be between $123 million and $127 million and anticipate our effective tax rate will be in the 34% to 35% range. Our weighted average diluted share count is expected to be between 58 million shares and 59 million shares for the year. And finally, our assumption is that the Canadian exchange rate remains relatively stable to 2016 at $0.76. All of this translates into a full year EPS range of $3.50 to $3.70 per fully diluted share. Looking at the cadence of the quarters, we believe Q1 EPS will be in the range of $0.60 to $0.70. In Q1, we will have the additional month of Private Brands and we placed a great deal of focus on growing the top-line, which should help drive the healthy Q1 results. Turning to our non-cash items, 2017 stock compensation expense should be approximately $46 million to $47 million. Depreciation is expected to be around $185 million, while amortization will be approximately $115 million. 2017 adjusted EBITDAS is expected to be between $775 million and $815 million for the year. Capital expenditures for the year are budgeted to be $215 million, which is pretty consistent with our history. On a long-term basis, CapEx should run about 3.5% of sales. Slide 15 shows our free cash flow and leverage. Our priority for cash continues to be to pay down debt. Given our strong free cash flow, we believe that around midyear, we will return to under 3.5 times leverage. As we move back under 3.5 times, the interest rate on our floating rate bank debt drops 25 basis points in the next quarter. I'm particularly pleased with our strong cash flow generating capability, which translates into an ability to delever quickly and in turn position us to continue to grow the business. Now that we've given you a picture of our expectations for the total company, let me direct you to slide 16 and give you a sense for what you'll see on where our divisions lie in terms of their role in our portfolio once we begin reporting our five divisions structure with the Q1 results in May. We have three divisions, Baked Goods, Condiments, Meals that range from $1 billion to $1.5 billion in revenue and have direct operating income margins in the low double-digits. Snacks is of similar size with revenue in the $1.2 billion to $1.4 billion range, but with leaner margins in the mid-single-digits. Beverages is the smallest of our divisions at around $1 billion in revenue that has DOI in the mid-20s. Let's go next to slide 17. We talked last November about our synergy activities in three buckets, supply chain savings, organizational effectiveness and network optimization. What we're showing you here is the integration plan that we are undertaking in 2017. We have a number of partial and full SAP implementations that take place in the first half of the year, which turns the rest of the chart that Dennis showed you from yellow to blue. We'll save a number of plant closings that were announced and has not yet closed. These are the activities that are driving synergies throughout the organization and this is the same integration plan that Rachel and Rob Hanlon, our CIO, drew up when we closed the deal, supporting our original synergy goals. Their teams continue to do a remarkable job and we remain optimistic about our ability to deliver the synergies. I'm sure many of you've been waiting to hear me get to the $0.55 to $0.70 year two and $1.50 to $1.65 year three accretion targets. As we've consolidated Private Brands and have moved to our five divisions structure, it's important to understand that there are simply too many moving parts to track that going forward. What I am going to do is be very transparent about the actions that are driving the synergies and share with you the key milestones in this process. So each quarter, I'm going to put the slide back up and check the boxes, will show you what we've accomplished, where we are and give you a sense of how we're tracking on a regular basis. Before I wrap up, let me say a couple of words about the potential impact the new administration may have on our results. At this point, it's very unclear what is going to change. Some of the things have been talked about include a lower corporate tax rate, potential elimination of interest deductibility and increases in import tariffs. As you know, interest is a meaningful expense for us. We also import a great deal of our inputs by necessity like other food companies. As such, any potential benefits to us of a lower tax rate may be more muted than one might initially think. In closing, you'll notice we've added a couple of things to our quarterly call today. We're using slides. We've added a couple of items in our guidance, a detailed timeline to deliver Private Brands integration and synergies and a preview of our segments as we go forward to the new divisional operating structure. Our goal here is to be as transparent as possible around the integration and our progress so that you have the tools you need to make your investment decisions. I'll now turn the call back to Sam.
Sam K. Reed - TreeHouse Foods, Inc.: Thank you, Matthew, and once again, welcome to the financial corner of our TreeHouse. Looking ahead, our fundamental commitment remains to deliver the strategic transformation presented by our acquisition of ConAgra Private Brands. In essence, this opportunity entails coupling our acquisition-driven growth model with sustained margin expansion powered by scale, innovation and productivity. Since announcing this initiative in November, we were steadily gaining momentum by sharpening our focus on the essential benefits of our unification to our customers, shareholders and employees. These are first the TreeHouse promise, which establishes customer intimacy with our strategic customers and their house brands. Next, simplification which generates shareholder returns through margin expansion and productivity across our supply chain. Lastly, capability by which our new organizational structure owns our competitive advantage through investments in technology, systems and talent. As we continue our evolving journey in a fluid ever-changing marketplace, we can anticipate structural shifts across our product and customer portfolios, as the evolution of consumer demand toward better-for-you products, premium customer brands, clean labels and the omni channel shopping opens new vistas for private label growth. Notwithstanding the Flagstone non-cash impairment, we will continue to invest in and expand our better-for-you snacks presence as a portal to the high-growth millennial generation and perimeter shoppers. This market dynamic will also present strategic challenges alongside these avenues of growth. Our product portfolio 32 grocery categories, our customer base of 1,100 and global supply chain spanning 73 nations cry out for simplification. In order to transform our operations, organic growth must be paired with selective pruning of the myriad of variations that have accumulated over the continual integration of a dozen deals. We must also comply the FDA mandate to change virtually all food labels by mid-2018. As Dennis has made clear, simplification will unlock growth and productivity. From an M&A perspective, we expect to be more actively engaged in the future, as substantial cash flow delevers our capital structure and as our reorganized divisions gain operating traction. For the time being, our laser like focus will be concentrated on organic gains through customer intimacy, simplification and capability. In the longer term, our strategic expansion forays will pursue millennial growth in health and wellness, on-trend beverages, e-commerce channels, and convenient perimeter products. In summary, after an initial year of strategic progress and uneven performance, we are even more determined, better organized and fully equipped to exploit our economic scale and competitive advantage in the private label marketplace. In doing so, we will make good on delivering our transformation to unmatched industry leadership with its manifest benefits for our customers, shareholders and employees. Please note that given today's full calendar of year-end reports, we will entertain only two questions from each caller, thus respecting your time by keeping our call within limits. Debbie, please open the phone lines for Q&A.
Operator: Thank you, Mr. Reed. We'll go first to David Driscoll with Citi.
David Cristopher Driscoll - Citigroup Global Markets, Inc.: Great. Thank you and good morning, everyone.
Sam K. Reed - TreeHouse Foods, Inc.: Good morning. Hello David.
David Cristopher Driscoll - Citigroup Global Markets, Inc.: Wondering if you talk about Private Brands in a little bit more detail, so on slide 6 – really appreciate that slide by the way – it shows fourth quarter Private Brands revenues actually up year-over-year. Does that fundamentally put you back on track to your original expectations? And then, the permutation on that question is, if that's true, then the 2017 guidance, it's obviously a lot lower than where we thought it would be three months ago. So I'm still trying to understand what's fundamentally changed within the Private Brands business that's been so impactful into the 2017 outlook. Let me stop there and turn it to you guys.
Dennis F. Riordan - TreeHouse Foods, Inc.: David, let me start on the number. Clearly, the Q4 retail was a little better than we thought. We wound up with a better finish than we had originally thought. I think when we talked earlier about maybe a lack of focus in the sales organization, not to their fault, but to our own integration activities. We've mentioned we freed them back. We had them back in the field. I think we had a good sales quarter. We had some nice in-store bakery business. We did well with pasta. I'm hoping that momentum carries over. So we seem to have moved quicker than we thought, which is great. Obviously, one quarter does not make a trend, but it certainly is a positive indicator and I think justifies what we had said all along, that we expected this business to get back to at least a level on the sales side and the target obviously is to try to beat that level on a year-over-year basis, but again, a good finish.
David Cristopher Driscoll - Citigroup Global Markets, Inc.: Okay, follow up and just say that I still, I think you guys still need to – I would appreciate it if you could still explain kind of what's been the big change, because the 2017 numbers are not even close to where consensus was three months ago. And so, yet, when we listen to it and we see that you're getting back to year-on-year growth in Private Brands, and I believe the original forecast was for flat revenues in 2017 on a run rate basis, that all feels like that's what you're telling me today, but it doesn't change the fact that 2017 estimates that you've guided to are way below where the Street was three months ago. So like what did we get wrong or what has changed? Thank you.
Dennis F. Riordan - TreeHouse Foods, Inc.: A couple of fundamental things have changed, David, and we won't be doing the segments like this, but in our contract business, in particular, we've exited some meaningfully sized contract business with the Private Brands group as we refocus. So you're going to see that coming out of the numbers on a year-over-year comparison. Very low to no margin business. We lost some Food Away From Home business that was low to no margin business in that area as well. Both of those are playing into next year's number. And the last piece is we're seeing some price erosion in part due to commodity costs and price due to some competitive pressure. And as a result, that will be the reason for the year-over-year decrease. So those are the year-over-year differences. I don't recall giving a 2017 revenue number in terms of official guidance. I know it may not be where the Street is, but those are the things that are affecting the year-over-year numbers.
David Cristopher Driscoll - Citigroup Global Markets, Inc.: Okay, I'll pass it along. Thank you.
Operator: We'll go next to Chris Growe with Stifel.
Christopher Growe - Stifel, Nicolaus & Co., Inc.: Hi, good morning.
Sam K. Reed - TreeHouse Foods, Inc.: Good morning Chris.
Christopher Growe - Stifel, Nicolaus & Co., Inc.: Hi. Thank you. I just had two quick questions for you. To follow a bit on the response there you gave to David's question there, Dennis, you mentioned you're seeing some price erosion. I wanted to understand, is that something you expect to continue or does an environment of rising inflation help blunt some of the price erosion you're seeing? And I guess, related to that, how much inflation do you expect for 2017, if you haven't given that already?
Dennis F. Riordan - TreeHouse Foods, Inc.: We haven't given. I think we're going to see some. Our basket is getting really large now in terms of the products. And even when I look at some of the components within categories, it fluctuates quite a bit. We've talked a lot about the nut business. We're seeing real nice movement in almond prices down, walnuts have stayed steady and cashews are shooting up and pistachios are going up. So it kind of is a mixed bag. Durum is another big buy of ours and I think we're going to see that one start to come up. In general, when you look at some of the ag components, it's generally moving up, as you're saying, but in the past year, it's just become a little more competitive in terms of the national brand equivalent products and that's kind of compressed some of the ability to raise prices. But overall, I think we're going to see a slight increase in input costs in 2017.
Christopher Growe - Stifel, Nicolaus & Co., Inc.: Will that help pricing then you think, some of this price erosion you're seeing? Is that the ultimate cause of the price erosion?
Dennis F. Riordan - TreeHouse Foods, Inc.: Input costs weren't the ultimate cause. That was part of it. I think for next year, the key is going to be to price appropriately in those commodities that are moving up. We had, as you know, a great year last year in the ag components for weather in the U.S., not so good for other source products like nuts and coffee. But I think you're going to see pricing come into play. And I think as we roll off some of these favorable buys that we had in 2016 and others do too, I think in general, we should see better pricing opportunity in 2017.
Christopher Growe - Stifel, Nicolaus & Co., Inc.: Okay. And then, just if I could ask in relation to synergies or the TSA, for example, is there some number we could use for the year in terms of the synergies that are being created, maybe some of the TSA-related savings that could be occurring, just something in place of the EPS accretion, I guess, is what I'm trying to get to.
Dennis F. Riordan - TreeHouse Foods, Inc.: All that's built into the numbers for this year that Matthew walked through, so those are in. It's hard to put an exact number on that. The best we can kind of estimate, and I think I've said this before, is out of that roughly $50 billion we started with, you're probably going to have $40 million-ish as an ongoing expense going forward. Matthew was pretty clear that as we've moved to divisions and shifted people around, components that were in the TSA are now a direct charge in customer service. Some are sitting in our corporate HR, in legal. Some are sitting in other areas, so it gets a little more mixed and it's not so easy to pull those things out. And as a result, we're just kind of going with the go forward, as Matthew said. We'll talk about the activities we're doing, but it's far more difficult a year later to be able to give you exact components.
Christopher Growe - Stifel, Nicolaus & Co., Inc.: Okay. Thank you.
Operator: We'll go next to Rob Moskow with Credit Suisse.
Robert Moskow - Credit Suisse Securities (USA) LLC: Hi. Thanks. Just a couple questions. In your guidance for 2017, I guess it makes sense. I mean I think it implies maybe $60 million to $70 million of improvement in EBITDA for the Private Brands business and then also some improvement in the core business. Is that correct? But when I head into 2018, since you're no longer giving us the accretion numbers, can I assume that the growth for 2018 would be similar for the Private Brands business, that because of the savings there's another, I don't know, $50 million, $60 million coming incrementally in 2018 and that's still there? And then, just as a follow-up, Dennis, like there's been a lot of confusion about the TSA and what's dropping to the bottom line and what's not. According to your original plan, has anything changed from your original acquisition plan when you bought the business regarding what would kind of fall off and drop to the bottom line versus what you have to absorb internally to add more people? Thanks.
Matthew J. Foulston - TreeHouse Foods, Inc.: Hey, Rob. This is Matthew. I think as we go through 2017, as I mentioned, we're really focused on this business and this format of the new five divisions and aren't and don't have the ability to track it in that Private Brands and the legacy format as we go forward. So I really think we need to start thinking of those five channels and the business as a whole. So it's very difficult to break that down and much as I'd like to be able to answer that, it would probably take me an additional army of finance and accounting folks to track it, which probably isn't very helpful. When you think about going into 2018, we're going to see a lot of carryover benefit from some of the actions that we've listed here that happened late in 2017 which will give us year-over-year lift. And as Dennis mentioned, this TSA is really a body of work that started off on the outside and is migrating over time onto the inside. Largely, it's taking a ConAgra head and replacing it with a TreeHouse head. But we do think, as Dennis mentioned, that somewhere in that single-digit range, we'll get some pickup as we go into 2018, because it's got to be more efficient to do it in one shop without the hand-offs in a much more seamless and customer-friendly manner.
Robert Moskow - Credit Suisse Securities (USA) LLC: But it is different from the original plan, isn't it, when you gave the original accretion plan?
Dennis F. Riordan - TreeHouse Foods, Inc.: Yeah. Rob, here's the nuts and bolts of how we are looking at this. The activities that we identify in order to achieve those synergies are absolutely in place. They are working. And we are on track on every one of those. So whether it was a purchasing consolidation, plant closing, distribution network changes, all of that is happening. We track against those activities very closely and that's what Matthew had said. We'll keep you updated on that. But just to give you kind of a quick little example here, we knew going in that we'd be able to get linerboard savings, getting a little detailed here. But we knew that would happen because of the joint buy on that. We combined that purchase; we've negotiated contracts that's all in place. But last year, linerboard was running about $780, and now, it's about $665. And so, you've got a big shift in the price. So I can't just go and look at linerboard savings and how much is now attributable to the actual consolidation and the renegotiation, that's kind of gotten all mixed up together. And then, the linerboard savings goes across all three business units, so it's not segregated as what we call TreeHouse Private Brands last year. Now, it's mixed in five divisions. So as Matthew said, trying to now untangle and go back and requantify that each quarter, it's just too difficult. And I said that was going to happen last year when we gave the numbers. So it's built-in. I can assure you we track those activities, all of those activities are in place and we're moving along on those. We have, as far as I can tell, no shortfall in the activities that were put in place to get those original synergies.
Robert Moskow - Credit Suisse Securities (USA) LLC: Okay. Thank you.
Operator: We'll go next to Farha Aslam with Stephens.
Farha Aslam - Stephens, Inc.: Hi, good morning.
Sam K. Reed - TreeHouse Foods, Inc.: Good morning Farha.
Farha Aslam - Stephens, Inc.: Could you just go through your five new divisions and just share with us kind of how we should look at sales growth in those each divisions? And kind of what margin opportunities can we think about in those divisions?
Sam K. Reed - TreeHouse Foods, Inc.: This is Sam, Farha. I think the as a starting point there is to look at our two-by-two matrix with regard to the divisions which are largely category-based. We have in the middle of the business, as Matthew indicated, three that are similar in nature and size being Baked Goods, Condiments and the Meals businesses where those businesses, for the most part, are going to grow with – pardon me, I meant Baked Goods, Condiments, Snacks. They are in that same size of $1 billion to $1.5 billion, have similar economics. And a large part will grow along with at the rate that categories do with then the addition of the better-for-you natural organic value-added products, which are really making up 20% now of our core business on the legacy side and a substantially lower part there. So I would expect what you will see is growth that is largely related to that better-for-you transition on the recently acquired. The Meals business is quite substantial, but not one that we expect to grow very much with regard to either its revenues or profitability and we will manage that largely for cash. Our real growth engine here is Beverages. I think you may recall some time ago that when we talked about the original estimates for the business we were looking at foods only. And now that we have added on-trend beverages, we found a real growth engine. I mentioned the single-cup coffee. Clearly, that continues to be quite substantial. In addition to that, we now are expanding capacity in specialty teas and finding a very fine market there not only in retail but particularly in foodservice. And then lastly, we've announced the introduction of cold brew coffee, which all indications are will be not a substitute for, but in addition to our single-cup. I hope that's helpful.
Farha Aslam - Stephens, Inc.: That is. And just as a follow-up, we talked a lot about simplification today. Is there a SKU percentage that you're targeting in terms of SKU reduction and a timeframe and a savings that that would create?
Sam K. Reed - TreeHouse Foods, Inc.: We don't have specific numbers there. The key governing factor though is that unless there's a change in regulatory, the measures already announced, that we have to convert virtually all of our food labels to new ones over the next 14 months. That is clearly a – imposes a new cost and new regulatory regime on all of the food industry. In our case, it does give us the opportunity to look internally and look with our customers at what clearly is going to be a restriction that we will make work for the mutual benefit of ourselves and our customers even as we take on a new burden with regard to costs to deal with that.
Farha Aslam - Stephens, Inc.: Okay, that's helpful. Thank you.
Operator: We'll go next to Evan Morris with Bank of America.
Evan Morris - Bank of America Merrill Lynch: Good morning, everyone.
Dennis F. Riordan - TreeHouse Foods, Inc.: Good morning.
Evan Morris - Bank of America Merrill Lynch: Just back to the outlook for 2017, I guess just I want to make sure I'm thinking about this correctly as well. So if I look at your guidance of $3.50 to $3.70 and off the $2.95 base that Matthew referenced, it kind of leaves you with a range that is very similar to the accretion guidance that you originally gave for year two in that last quarter, Dennis, you said you were still comfortable with. So just if – does that imply then that sort of the base business is going to be flat this year, the accretion is going to be less again, sort of getting back I guess to David's question again, but just trying to understand how these pieces add up, because that implied growth is similar to your original accretion range.
Dennis F. Riordan - TreeHouse Foods, Inc.: In terms of the growth, I would say it's relatively consistent, maybe a little on the flattish side. And we weren't putting much in top-line and sales on the Private Brands. So I think there's other parts of the P&L though that are really more affected. We hadn't originally planned back a while ago on interest rates changes. I think you'll see that our interest assumptions are higher than most had in the Street, so that's playing into it as well. We've invested in some costs as well to run the business. So we've got a little bit there. And I think we decided to try to be a little more conservative going into this year. And so, we got a wider range and Matthew talked about there's a lot of things going on out there. And I think our prospects look good, but frankly, it was time to take a wider range on the guidance range in light of all the things going on out there in the commodities. So I'm comfortable with where the business is going, but this was not the time we felt to kind of get ahead of our skis.
Evan Morris - Bank of America Merrill Lynch: Okay. And then, just the second question just on your new sales structure, certainly understand conceptually the benefits of getting more focused and targeted. But I guess as I think about the – I guess one of the initial benefits that I thought about putting the two businesses together was the scale benefit. And I guess if you're starting to maybe act smaller or think smaller and being more focused and targeted, does that take away or eliminate some of that scale benefit that you thought you were originally getting? Is it not playing out as you initially had thought or hoped for?
Dennis F. Riordan - TreeHouse Foods, Inc.: Actually, I think this works really well, because if you noticed what we're doing is really, if you will, deconsolidating sales, marketing, the go-to-market activities so that we have that focus. But in terms of the scale, we still have our central team in operations and distribution, warehousing, all of that activity is centralized to take advantage of the scale. The big thing that struck me as I looked at the divisions and we looked at our opportunities was how much white space opportunity existed within each of these divisions. And as good as we are and as much as we're a leader in these categories, it's just surprising how much opportunity is there. And I think what we lost a little bit, with a consolidated sales organization, is you go after selling the hot products and what's new, what's interesting. And if you're presenting new coffee products and others that everybody wants, maybe you're not quite as motivated to sell the pickles and sell the salsa and sell some of the other products and now with these dedicated sales teams, with dedicated targets, within these core categories of ours, what I'm hearing is the focus has ramped up. And I think there's a lot of opportunity out there to take share and for private label to take share, and that's where the real benefit is going to come in. And each of the division presidents now controls a significant number of salespeople to sell their products and there isn't that old fight for awareness in the sales team. So I think it's the best of both worlds, consolidation and going after and taking advantage of the size we are, but being focused in the individual categories.
Evan Morris - Bank of America Merrill Lynch: Okay. And just a follow on to that, so you don't think that that reduces your sort of leverage in any way? If you're going to the same buyer but with a smaller group of products and you've got smaller companies that just be a one salsa guy, he just makes one product, that you're not differentiating yourself again from that scale factor as much as you were before in the eyes of that buyer?
Dennis F. Riordan - TreeHouse Foods, Inc.: I think what actually happens here is where we went against that one who just sold salsa. I think there were times when our competing sales teams, those people knew their products probably better than we did, because that salesperson we sent in was selling a big array of products. There's far more focus now and I think we're going to be a more effective selling organization across our categories. So I see this as really a way to grab more share as opposed to trying to just do as well as you can with a big basket of goods.
Evan Morris - Bank of America Merrill Lynch: Thanks. I will pass it along.
Operator: We'll go next to Joshua Levine with JPMorgan.
Joshua A. Levine - JPMorgan Securities LLC: Hey, good morning. I guess just one quick clarification. In the Appendix of the presentation, you laid out sort of, I guess, the size and margin targets for the individual business segments. Are those 2017 or maybe just where we are right now, or are those kind of longer-term targets? And then, maybe with that just, is there one or more segments you think that really has a higher likelihood of upside than others?
Matthew J. Foulston - TreeHouse Foods, Inc.: Yeah, this is Matthew. When we laid those out, we were really foreshadowing our reporting in 2017. So I think if you think about what we're going to unveil as we go into Q1 results, this is the look forward for 2017. In terms of risks and opportunities, I think as Dennis mentioned and I mentioned in the prepared remarks, we are facing some commodity headwinds across a few categories which will represent a challenge for sure in certain areas. But then as Sam said, exciting developments on the tea side and on the cold brew coffee side. So I think you expect to see these probably unfold pretty much as we've alluded to there.
Joshua A. Levine - JPMorgan Securities LLC: Got it. Thanks. And then, looking at the sort of the cadence I guess for the year, and really beyond 1Q, if I remember your commentary about a year ago, at least the initial thought was that 1Q would be the smallest quarter of the year. I don't know if that is still the case, but just obviously, it's a bit hard to know. And then, I think you should have the benefit of easy comps in the second quarter. So I guess is it fair to think that the organic sales growth should get better beyond the first quarter? And then, Dennis, is there any way you can help quantify the exits that you talked about in the Industrial and Export and Food Away From Home businesses in response to David Driscoll's question? Just trying to think about sort of the margin trajectory, sort of what's maybe more one-time step up versus more the deal-related cost synergies? Thanks.
Dennis F. Riordan - TreeHouse Foods, Inc.: First on the cadence, it's a little bit different, we are finding out. Q1 is not – historically, Q1 was the lowest and we kind of went Q1 and then Q2 and Q3 ramped up a bit and Q4 was bigger. Now, Q4 is by far the biggest, and there's – actually Q1 is starting to get a little bigger, because in our Baked Goods side, there's still the opportunity for cookies and crackers through the winter, through Super Bowl, and then, on to Valentine's Day. So it's a little bit better quarter in the Baked Goods side than what we had experienced in the past. So it looks like Q2 now slides to the low point in terms of the revenue. So that's one thing to think about. Question two.
Joshua A. Levine - JPMorgan Securities LLC: The business exits.
Dennis F. Riordan - TreeHouse Foods, Inc.: We lost one business and started phasing out last year a bit. That was in the roughly $200 million range in contract with no profit. We've lost a couple of Food Away From Home very low margin businesses probably in the $40 million to $50 million range. That's kind of my best guess off the top of my head. So you can tell the numbers are rather significant in terms of where they were in 2015. 2016, they started sliding out. One of them we lost a little mid-way through 2016. The other one finally stopped shipping in roughly the December timeframe and that was a customer who frankly built their own factory to take on that production.
Joshua A. Levine - JPMorgan Securities LLC: Got it. Thank you. And just one last quick clarification, you mentioned about the five different divisions, we'll find out through the year. Does that mean we won't get restated financials?
Matthew J. Foulston - TreeHouse Foods, Inc.: Yeah, what we will do is ahead of the earnings call at the end of Q1, we'll give you recast financials for 2016 and 2015 by quarter in that new segment format. So you should have good comp data to look at.
Joshua A. Levine - JPMorgan Securities LLC: Thanks very much. Appreciate it.
Operator: We'll go next to John Baumgartner with Wells Fargo.
John Joseph Baumgartner - Wells Fargo Securities LLC: Hi, good morning. Thanks for the question. Dennis, I'd like to ask about what you're seeing in terms of the national brand equivalent price point. How are you thinking about the growth or decline of that price segment in 2017? And in terms of the premium business, is it reasonable to think that you can grow the rates similar to 2016?
Dennis F. Riordan - TreeHouse Foods, Inc.: Yeah. What was a little interesting last year as I looked at the tonnage, the NBE was only down about 1%, which is a little better than it's been in terms of that category. So that seemed to have leveled out a bit. I think in the natural premium organic, we're up about 30% in tonnage. So both of those are pretty good and I liked the idea that was there. I was a little surprised that the value side of our business was only down about – was down 4%. And in a way that's kind of good, because that tends to be the lower margin business. So I think the trends seem to be a bit favorable heading into next year.
John Joseph Baumgartner - Wells Fargo Securities LLC: But that 30% growth in premium, Dennis, I mean that's a pretty hard comp. I mean how are you thinking about lapping that in 2017? Material slowdown or is it, do you just kind of take it in stride?
Dennis F. Riordan - TreeHouse Foods, Inc.: I hope we continue that, because what we're finding is that that's what our customers are asking for. And even some of our value customers, limited assortment value, they're coming to us and who has historically just taken a low price point are saying their customers or their consumers are more and more asking for clean label products, but at a value price. So I think this is going to continue. And I would think in a few years, maybe we're not even going to think about this. This is going to be the norm. Clean label products is where we're going to be at. And we're already seeing that with a lot of high fructose coming out of products and a couple of years ago, that meant it was a cleaner label, better-for-you product, but I think in our preserves, almost everything we do now is with natural sugar. So the world is changing and I like the idea that private label is able to take advantage of that.
John Joseph Baumgartner - Wells Fargo Securities LLC: Maybe just building on that, in terms of the progress or process to increase the premium better-for-you portion of the Private Brands business specifically, what does that process or timeframe look like? And then, just how essential is that capability in terms of gaining new business or regaining a lost business there?
Dennis F. Riordan - TreeHouse Foods, Inc.: It's progressing as quickly as we can. In fact, we talk about this every two weeks with our head of R&D and we look at what we're doing to make progress on that. It's not as easy as just changing out a formula. You've got to do a lot of work. It's got to get sold in. When you change ingredients, it changes production. But it's clearly our focus and it's one of the top five mandates in our R&D group is to work on the reformulation. So I can't stress enough how we're working on that.
John Joseph Baumgartner - Wells Fargo Securities LLC: Okay. And then, just a point of clarification. On slide number 16 where you lay out the margins by division, the Snacks division, a mid single-digit operating margin seems pretty low. And I feel like maybe that's an area where there could be a lot of opportunities for premium innovation going forward. Is it right to think there could be some margin upside there over time with more premium innovation?
Dennis F. Riordan - TreeHouse Foods, Inc.: That is more of a mix opportunity. Frankly, if you look at that margin structure, it's not that far different than what you've seen in other public nut companies or ones that are focused primarily on nuts. There's two things that go on. There's a standard fill-up bags and cans and tubes of nuts. And frankly that's high volume, low margin. And then, you've got better-for-you bars, trail mixes, which are value-added and those have better margins. So obviously, our goal will be to emphasize especially the value-added components where the margin opportunity is as opposed to emphasizing just growing business for the sake of growing business and the commodity putting nuts in a bag.
John Joseph Baumgartner - Wells Fargo Securities LLC: Great. Thanks a lot, Dennis.
Operator: We'll go next to Jonathan Feeney with Consumer Edge Research.
Jonathan Feeney - Consumer Edge Research LLC: Good morning. Thanks very much, guys. Two questions. First, there's been a lot – just thinking about the Private Brands business, when I go back and look at the history of that business, I mean pro forma for a couple of deals ConAgra did, there was like mid 40 number of facilities and last I checked, it was like high 20 dedicated to that business. Now, I don't expect you to give that disclosure going forward, but if you can tell us something about what you think your capabilities are in that business or maybe capacity utilization versus peak, that would help us or maybe capacity utilization versus where are you right now would be great. And secondly, if you could go through, I think a lot of people are grasping for how to think about what the opportunity is with this business now that you don't want to – you'll update that old guidance regime, which makes perfect sense to me. But if you go – what are the reasons it wouldn't simply be some version of the margin once achieved with those businesses going back to 2010, 2011, 2012, minus some allowance for changes in the marketplace plus synergy? Because it seems to me that, at least on first glance, the businesses haven't changed all that much, just maybe the customer management and price level and profit level of the businesses have, something you've addressed with the new structure. Thank you.
Sam K. Reed - TreeHouse Foods, Inc.: Hey, Jon, this is Sam. Rachel and I will tag team this. First of all, with regard to the network of manufacturing and distribution, we are in a second of a three-year plan to consolidate the network and there we have I think to date identified and publicly announced five plant closures. We also have announced that we're going to exit the what are effectively mixing centers that are largely dedicated to cereal. And in contrast to what we have done in the past, this has been a result of our supply chain working with strategy and doing an extraordinary amount of data analyses that show that there is great opportunity here to not only improve, reduce unutilized capacity, make investments in new technologies, but also, equally importantly, make arrangements with our customers to have a much more efficient logistics system. As I said, it's a three-year really exercise to get all of this done, but it offers great promise. And Rachel and her team have been the ones that have scheduled the initiatives out over a period that we've shown you in one slide, but perhaps you could add more color or commentary.
Rachel Rothe Bishop - TreeHouse Foods, Inc.: So regarding your question about the utilization and the number of facilities that we have, the number has gone down. And one of the things that you hear us talking a lot about is simplification and how we're taking costs out and making the operations more efficient. As you do that, you end up with excess capacity and that has been rationalized in a fairly consistent manner over the course of the last few years. If you look at page 17 where we talk about the integration initiatives, at the bottom, we list out four plant consolidations or partial closures that we've announced and that we will be completing or have completed this year. Those go across four of our divisions, four of our five. So the Battle Creek one is a meals plant. Ayer, Massachusetts is a condiments plant, which we announced about this time last year. Azusa is a snack bar facility, part of the Snacks division. And then, the Delta facility is a griddle plant that is in our Baked Goods division. So we really take a pretty holistic look division by division, within capability and look at opportunities to streamline the operation. And so, the good thing is we have maintained the capabilities that we've had over the course of the years. We're still manufacturing the same portfolio of goods. What we're doing is doing it more efficiently and on a very consistent ongoing basis looking at opportunities to take costs out and continue to support and drive the business in that way.
Sam K. Reed - TreeHouse Foods, Inc.: And then, I would say, Jon, with regard to the question of turning the clock back to kind of historical circumstances, that's relevant information to us. I know exactly the year in which Ralcorp hit its maximum and for TreeHouse as well, and we aspire to, of course, have larger, continue to improve margins. But the big factor here is the marketplace that was in place when TreeHouse started or when Ralcorp was at its peak, that market has dramatically changed. It was a market that was focused on supermarkets, industrial might, full truckloads of cans, bottles and boxes, stuff you put in the center of the store, you went into pantry for meal preparation. It lasted for two years and the marketplace is dramatically different and that's why you see, as Dennis indicated, 30% growth in our better-for-you natural and organic products. And then from a consumer perspective, we now know through internal research that millennials are the coming economic power and that their motivations for buying these products, while value is still a part of this, it's a very different consumer. And we are far better equipped today. 10 years ago, this was all about cost accounting and engineering. And today, it's about consumer interest and building affinity and intimacy with customer brands. You will watch TreeHouse distance itself from everyone else in that regard.
Operator: We'll go next to Pablo Zuanic with SIG.
Pablo Zuanic - Susquehanna Financial Group LLLP: Thank you. Look, just one brief question. I'm trying to make sense of slide number 6 in terms of the improvement in the ConAgra Private Brands business, which of course is very welcome by everyone. Because if I look at the scanner data or what I call the ConAgra Private Brands heritage categories, the large scale ones like biscuits, ready-to-eat cereals, snack bars, retail bakery, pasta, none of them have improved. They've actually remained just as poor in terms of decline or actually have worsened. So I'm trying to understand what drove that improvement from the second quarter to the fourth quarter. And also, whether we are doing something wrong in terms of looking at the scanner data for private label in those categories? Or are you gaining share within private label in those categories? Thanks.
Sam K. Reed - TreeHouse Foods, Inc.: Hey Pablo, it's Sam. I'm glad to hear from you. With regard to that slide, it's important to note here that I was focused on the core engine, which is retail. And as Dennis indicated a few minutes ago, there have been substantial reductions in the industrial contract manufacturing for other branded companies that are excluded in this analysis. And we have seen in the fourth quarter, not only the seasonal businesses like Lofthouse and the refrigerated dough, but on a broader scale, that our business did substantially improve in comparison to the run rate on each of these three quarters compared to the prior year again on the core retail segment.
Dennis F. Riordan - TreeHouse Foods, Inc.: And Pablo, one of the things that is becoming more and more challenging, even with us, as we look at measured channel data, is it seems like less and less of our biggest customers are falling into that measured channel. And so, we've been very successful with limited assortment and in club stores that can fall outside that range. So I don't have the exact percentage. We've been debating it, but it's a pretty reasonable percentage of our business that is not in measured channels. So that's one issue and the other issue is we have been taking share. And I mentioned about all the white space opportunities we have. So I think we gained a bit in that regard as well. But you're running into the same problems we tend to have when we looked at that same measured channel data. It doesn't match up very well at times with what our actual results are.
Pablo Zuanic - Susquehanna Financial Group LLLP: Thank you. That's very helpful. And I guess just a quick follow-up and maybe it's the same answer, but in the case of K-cups private label, the scanner data would imply that the growth is much better than what you are posting. So it would seem that you are losing share within private label in K-cups. Is that the wrong interpretation, you're gaining in private label K-cups?
Dennis F. Riordan - TreeHouse Foods, Inc.: I think we are gaining. And one of the challenges you have with the data and I'll turn over to Sam, because I think he's more on top of this than I am, but the counts are different. And so, looking at units and sell price can be very confusing, because the 12 count that you see in all the brands doesn't necessarily equate to our counts.
Rachel Rothe Bishop - TreeHouse Foods, Inc.: Right. In private label, one of the big drivers – sorry, this is Rachel, Pablo. One of the big drivers is the large packs, and Sam mentioned that in his earlier remarks, we're seeing tremendous growth in private label in packages that are more than 36 count. So when we go through the IRI data, we actually look at it on a per cup basis, which is not available traditionally. They look at other units, which is per box, or they look at dollar sales. But if you look at it on a per cup basis, what you see is the heavy users, the people that are buying an 84 count are much more likely to buy private label, and in many cases, they're also buying that in untracked channels. So they may be buying that at clubs, they may be buying it online. But they are stocking up, they're doing so in private label, and that seems to be where the trend is going right now.
Pablo Zuanic - Susquehanna Financial Group LLLP: Right, understood. Thank you.
Operator: We'll go next to Akshay Jagdale with Jefferies.
Akshay Jagdale - Jefferies LLC: Good morning.
Dennis F. Riordan - TreeHouse Foods, Inc.: Good morning.
Akshay Jagdale - Jefferies LLC: Hey, just wanted to – I know you are a bit hesitant to quantify on accretion and I understand why. But just at a very high level, your company was earning 9% margins a couple years ago, so was Ralcorp. You had said there is a big margin opportunity, right? So is one way to look at this – I mean am I looking at this correctly if I say your base business, you historically wanted to grow gross margins by about 100 basis points every year? Now that you have this transformative deal with a lot of synergies and your guidance also for 2017 points to this, should we expect that over the next couple of years, the aggregate sort of margin expansion to be greater than what you had expected from the base business? I mean is that a fair way at a very high level to think about executing on this deal in terms of financials and something that's quantifiable?
Dennis F. Riordan - TreeHouse Foods, Inc.: I would say that is a fair way to look at it at the top side. That certainly will continue to be our internal goals to raise that. Two things always come into play. One is mix and that can affect what the external number looks like. The other one is what happened in coffee, for instance, which due to the nature of that business outside of our control, the margin structure declined significantly when the private label program would be out of set. And so, if you've got a good sized category, with a good sized margin change, that could come into play. So there are things that can muddy that up, Akshay, but absolutely, we see the same type of opportunity here that we've talked about for the last five years and that's trying to grow that 100 basis points of margin.
Akshay Jagdale - Jefferies LLC: Okay. And then, just on free cash flow, the chart you provided I think points to a little over $300 million free cash flow in 2016. That's almost double the adjusted net income. Given there's still going to be some charges flowing through, how should we think of free cash flow as a percent of net income for the next couple of years barring any other major acquisitions?
Matthew J. Foulston - TreeHouse Foods, Inc.: You can clearly see the trend in the way this business is throwing off cash and continues to accelerate in the way it's throwing off cash. So I think as we expand our EBITDA year-over-year, we pick up that extra month of Private Brands, and you also see some of the synergies and cost reductions coming through. We continue to expect strong free cash flow and a fairly rapid deleveraging. We're particularly excited about getting below 3.5 times around midyear. That has lots of implications for us. So we're going to continue to focus very, very hard on the cash side of this business.
Akshay Jagdale - Jefferies LLC: Okay, I'll pass it on. Thank you.
Operator: We'll go next to Jon Andersen with William Blair.
Jon R. Andersen - William Blair & Co. LLC: Hey, good morning, everybody. Two quick ones for me. One, just housekeeping. On slide 6, the Private Brands Retail revenue, is that a volume number that's being shown there, volume trend or is that an all-in kind of sales trend?
Sam K. Reed - TreeHouse Foods, Inc.: That's a revenue trend, Jon.
Jon R. Andersen - William Blair & Co. LLC: Okay. Okay, thanks. A question for you, I think Matthew talked a little bit at the opening about the fact that private label in aggregate in North America is still sitting at kind of half the level that more developed markets in Western Europe have attained. Can you talk a little bit about what you think is holding the U.S. specifically back in that regard? Is it just kind of a time or focus or are there kind of structural impediments and how do you kind of break through those over time? Thanks.
Rachel Rothe Bishop - TreeHouse Foods, Inc.: Jon, this is Rachel. I'll take that. Your question on private label penetration in the U.S. and the age old question of when will it approximate what we see in Europe, I think there's several different things that play that we've talked about before, differences between how people shop in Europe versus how they shop in the U.S. First of all, retailer consolidation has occurred or retailers in general are much more consolidated. You'll have a few top retailers in Europe that are really driving the business. And so that enables them to get more scale behind a few Private Brands. And you also see people shopping in a very different way. So I think there was at one point a lot more trial and more shopping frequency, which led to an increased performance or increased sale of Private Brands. So there are some consumer trends and retailer trends that have really pushed private label. But I think what we're seeing in the U.S. is we continue to see that consolidation. It seems like every year, we have one or two of our top customers join up. And so, for us, that obviously presents an opportunity for us to simplify our business and take some costs out. And so, we see both that and then with the trends and how the millennial is shopping, which mirrors much more closely the way European consumers shop, feel like both of those things give us a lot of confidence that, going forward, we'll start to see more increase of private label penetration similar to what we've seen in Europe.
Jon R. Andersen - William Blair & Co. LLC: Okay, great. And one quick follow-up. Just on kind of the management transitions that I think are still ongoing, is there any kind of update there? And I'm not asking for specifics, but maybe some perspective on criteria, as you think about kind of filling in from a kind of senior executive position based on some recent circumstances? Thanks.
Sam K. Reed - TreeHouse Foods, Inc.: Hey, Jon, it's Sam and, surprise of surprises is both Dennis and I are still here. Having a wonderful time. First of all, the changes that have been brought over the last four months have been extraordinarily positive for us and that the plans that we laid that were somewhat disrupted now have been completely put into place. And we are pleased to have not only Matthew here and Dennis in his role, but also that in a go-to-market sense, we've strengthened the business. And the five division presidents, they're all acting like they're latter date versions of David Vermylen, off and running. With regard to the president search, that's underway. We've retained a very fine leading firm. We are delighted to have both internal and external candidates and we would expect that that position will be filled in the foreseeable future. And again, I'm really quite pleased with the turnout in that regard. And then, lastly, I'll say that the executive team at TreeHouse and the senior management team that are working in the combined operating units have become even more cohesive and united in this period following the unexpected troubles in November. And I think the tone of what you're hearing today is something that we are very positive about 2017 and going forward.
Jon R. Andersen - William Blair & Co. LLC: Okay. Thank you.
Sam K. Reed - TreeHouse Foods, Inc.: By the way, everybody, we'll take two more callers please, and then, allow you to get on to other events.
Operator: We'll go next to Amit Sharma with BMO Capital Markets.
Amit Sharma - BMO Capital Markets (United States): Hi. Good morning, everyone.
Dennis F. Riordan - TreeHouse Foods, Inc.: Good morning.
Sam K. Reed - TreeHouse Foods, Inc.: Good morning, Amit.
Amit Sharma - BMO Capital Markets (United States): Dennis and Matthew, a question on the Condiments segment and you talked about at the Investor Day about the changes that you've done in that division. Should we think of that as a template or a rough template and see what you might be able to do in some of the other divisions? And in that respect, could you talk about the margin implications of the changes that you're making in that division? Thanks.
Dennis F. Riordan - TreeHouse Foods, Inc.: Well, the Condiments, as we said, was the first to go. So in a way that was maybe the first model, but everything is really modeled just like what we did in the Condiments in terms of sales. And in fact, for most of the year, it wasn't that we had a dedicated sales team there, it was just that we had a dedicated management group running that. And it was a little bit easier in that division in the sense that there was one primary factory that made all the products that went into the Private Brands Condiments. A little more complicated than the others, because there can be multiple locations, but clearly, that's where we're going. I don't have a margin number to provide in terms of what it was and where we're going, but it's clearly this new structure is what we think we need to do to also drive the margin profile. I did mention like in the snack nuts, we've got five factories and, currently, they're making a variety of different products. Yet, when you look at the factories themselves, each one seems to have capabilities that are more specialized. And if we can reroute the products, so one is high-speed production, one is custom products, one does a variety of roasting, one plant doesn't do roasting, so we can mix and match that around, those are the things we really couldn't do without having a consolidated look at it. And having a management team and an operating team focused strictly on Snacks is what's going to allow us to take advantage of that and drive the margin. So I don't have a number to give you, Amit, but it's clearly something that will be a catalyst for driving that margin improvement.
Amit Sharma - BMO Capital Markets (United States): That's really helpful, Dennis. And then, what about the timeline of these? Are these going to – in the other divisions, should we expect that most of this will be done by the end of this year or some of that bleeds into 2018 as well?
Dennis F. Riordan - TreeHouse Foods, Inc.: Well, structurally, on January 1, a month and eight days ago or nine days ago, this became effective. So all of these structures were in place to start the year in January, including the Condiments. People were identified, they're named, they're in their teams, not just sales and marketing, but the operating teams as well. We have finance, everything is there. So they're off and going now and targeting not only the operational improvements, but the SKU simplification, looking at customers, looking at products, so it's there now. This is not a 2018.
Amit Sharma - BMO Capital Markets (United States): Got it. And just a very quick follow-up, we've talked about this in the past. Do you have now a number for what is the better-for-you part of the portfolio in the Private Brands business?
Dennis F. Riordan - TreeHouse Foods, Inc.: We don't.
Amit Sharma - BMO Capital Markets (United States): You gave 20% for the legacy. Do you have a comparable number for Private Brands?
Dennis F. Riordan - TreeHouse Foods, Inc.: We don't. We still don't. We don't have them on our SAP system, which is what we need to be able to code the labels, because that's how we do that. So until we get more of them on, we're not going to be able to provide a detailed number on that. So in general, when I talk about those numbers for the legacy, I think you discount it slightly for the Private Brands. But it's a little more challenging in their world, because you get things like retail bakery that don't necessarily have a particular label. But as we move them onto SAP, we'll get a better sense of how the total portfolio looks.
Amit Sharma - BMO Capital Markets (United States): Got it, thank you.
Operator: Ladies and gentlemen, our final question today will come from Brett Hundley with Vertical Group.
Brett Hundley - Vertical Trading Group LLC: Hey, good morning. Thank you, guys. I'll just ask one question related to Canada. I think as currency has moved against you guys in recent years, I believe you had begun working on different sourcing arrangements to negate some of that impact. And I just wanted to get an update on where you might be with this effort. And assuming the Canadian dollar stays where it is here, could those changes in sourcing actually add any tailwind ahead?
Dennis F. Riordan - TreeHouse Foods, Inc.: Well, we focused on doing that, but it was a very difficult process, which is why you haven't seen the big change in the margin profile for that Canadian business. There's just too many of those inputs that are sourced in the U.S. because they had to be sourced in the U.S. The difference now though is with the Private Brands business and also with our broth business, they tend to get a bit of a gain on that based on the businesses that we have on there. So we're starting to at least dilute the huge negative effect that currency had caused in Canada, not totally but a bit. But I think the important thing, Brett, is what you brought out is that we're seeing stability in the Canadian dollar and that's going to take away the huge year-over-year comp problems that we were having when we went from that north of 100 and hit back down into the 60s. So our plan for this year is it stays in that roughly $0.76 range. And if that's the case, it will be pretty comparable to a year ago and we'll kind of eliminate those year-over-year problem comparisons.
Brett Hundley - Vertical Trading Group LLC: Great. Thanks, Dennis. Good job, guys.
Operator: Ladies and gentlemen, that will conclude our question-and-answer session. Mr. Reed, I'll turn it back to you for closing remarks.
Sam K. Reed - TreeHouse Foods, Inc.: Thanks, again, everyone. You've displayed a great interest in our company today. And as we always are trying to find new ways to sustain our TreeHouse, growing strong, standing tall, we're delighted that you're with us. Talk to you in a few months.
Operator: Ladies and gentlemen, thank you for your participation. This does conclude today's conference. You may now disconnect.